Operator: Good morning, ladies and gentlemen, and welcome to the Cooper-Standard Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded, and the webcast will be available on the Cooper-Standard website for replay later today. I would now like to turn the call over to Roger Hendriksen, Director of Investor Relations. Please go ahead, sir.
Roger S. Hendriksen: Thanks, Sylvie, and good morning, everyone. Thank you for spending some time with us this morning. The members of our leadership team who will be speaking with you on the call this morning are Jeff Edwards, Chairman and Chief Executive Officer; and Jon Banas, Executive Vice President and Chief Financial Officer. Before we begin, I need to remind you that this presentation contains forward-looking statements. While they are made based on current factual information and certain assumptions and plans that management currently believes to be reasonable, these statements do involve risks and uncertainties. For more information on forward-looking statements, we ask that you refer to Slide 3 of this presentation and the company's statements included in periodic filings with the Securities and Exchange Commission. The presentation also contains non-GAAP financial measures. Reconciliations of the non-GAAP financial measures to their more directly comparable GAAP measures are included in the appendix to the presentation. So with those formalities out of the way, I'll now turn the call over to Jeff Edwards.
Jeffrey S. Edwards: Thanks, Roger, and good morning, everyone. And as always, we appreciate the opportunity to review our second quarter results and provide an update on our business and the outlook going forward. To begin on Slide 5, I'd like to highlight some second quarter data points that we believe are reflective of our continuing outstanding operational performance and our ongoing commitment to our core company values. In terms of operations and customer service, I'm extremely proud to report that we ended the second quarter with a record 100% of our total 317 customer scorecards for quality and service being green. This is such an amazing accomplishment, frankly, and it speaks volumes to the dedication and commitment of our manufacturing teams around the world. It's also an indication of how effective the new digital tools we've deployed in our plants can be at identifying potential challenges and more importantly, enable corrective actions before they become bigger issues. So a huge shout out to our manufacturing leadership team, our plant managers and our plant employees for this remarkable result. Thank you all very much. For new program launches, we continue our outstanding service level with 97% customer scorecards being green despite increased launch activity, as we've discussed. Frankly, these are amazing operational statistics that reflect our total company commitment to providing the best possible value for our customers as well as our internal commitment to excellence in all that we do. Also in our plant operations, safety performance continues to be excellent. During the second quarter, we had a total incident rate of 0.26, reportable incidents per 200,000 hours worked. That's well below the world-class benchmark of 0.47. Even more important, 44 of our plants have maintained a perfect safety record with a total incident rate of 0 for the first half of the year. Just to frame that, that's 75% of all of our production facilities achieving a perfect safety score and demonstrating that our ultimate goal of 0 safety incidents is certainly achievable. We are proud of the entire global team for their focus and achievement in the most important operating measure for our company. In terms of cost optimization, we had another solid quarter with our manufacturing and purchasing teams delivering $25 million of savings through lean initiatives and other cost-saving programs. In addition, the restructuring and headcount optimization initiative that we implemented beginning in the second quarter of last year has been driving cost savings as we planned. In the second quarter, that initiative actually yielded another $4 million in year-over-year savings. Finally, we're continuing to leverage world-class service, technical capabilities and our award-winning innovations to win new business. During the second quarter of 2025, we were awarded $77 million in net new business awards. We're proud to be the supplier that our customers increasingly turn to for quality components, consistency of delivery and collaboration on the design and development of new technologies and critical systems for some of their most important vehicle platforms. Turning to Slide 6. With our product quality and customer service levels at all-time highs, our relationships with our customers, frankly, have never been better. As a result, we continue to amass an impressive number of important awards from our customers, the latest being the Ford Supplier of the Year. In addition, we are proud to be selected to collaborate with the Renault Group on their Emblème project. That's an eco-conscious family demo car that aims to reduce CO2 emissions over its life cycle. The groundbreaking project integrates two of Cooper-Standard's low-carbon, high-performance vehicle innovations, the FlexiCore thermoplastic body seal and our FlushSeal sealing system. But more important than hardware in the trophy case, is the way these quality relationships enable us to continue to negotiate and navigate today's business environment. This has been clearly evident in our recent discussions on tariff impacts, which are now largely complete with the most important commercial negotiations now behind us for the year, importantly, our focus in the second half can be 100% on sustaining our operational excellence and executing our plans to achieve our long-term goals and objectives. I look forward to speaking more about this in the next few minutes. But for now, I'll turn the call over to Jon to review the financial details of the quarter.
Jonathan P. Banas: Thanks, Jeff, and good morning, everyone. In the next few slides, I'll provide some details on our financial results for the quarter and discuss our cash flows, liquidity and aspects of our capital structure. On Slide 8, we show a summary of our results for the second quarter and first 6 months of 2025 with comparisons to the same period last year. Second quarter 2025 sales were $706 million, a decrease of 0.3% compared to the second quarter of 2024. The slight decrease was driven primarily by unfavorable volume and mix, including net customer price adjustments, partially offset by favorable foreign exchange. Adjusted EBITDA in the quarter was $62.8 million, an increase of more than 23% when compared to the $50.9 million we reported in the second quarter of last year. Importantly, we were able to drive further margin expansion of 170 basis points versus the same period a year ago despite lower sales and production volumes. On a U.S. GAAP basis, we reported a small net loss of $1.4 million in the second quarter compared to a net loss of $76.2 million in the second quarter of 2024. Adjusting for restructuring and other items from both periods as well as the related tax impacts, adjusted net income for the second quarter of 2025 was positive $1 million or $0.06 per diluted share compared to adjusted net loss of $11.3 million or $0.64 per diluted share in the second quarter of 2024. Our capital expenditures in the second quarter of 2025 totaled $7.8 million or 1.1% of sales, which was lower than the second quarter of last year, owing largely to the timing of new launched projects. We continue to exercise discipline around capital investments in order to maximize our returns on invested capital. For the first 6 months of 2025, our sales dipped on unfavorable foreign exchange and slightly lower volume, mix and net price adjustments. But despite lower revenue, our gross profit margin increased by 200 basis points and our adjusted EBITDA margin improved by 300 basis points compared to the same 6-month period a year ago. We were also very pleased to achieve positive GAAP net income in the first half of the year, which was an amazing improvement of more than $6 per share versus last year. Moving to Slide 9. The charts on Slide 9 provide additional insights and quantification of the key factors impacting our results for the second quarter. For sales, unfavorable volume and mix, net of customer price adjustments reduced sales by approximately $7 million compared to the second quarter of 2024. This impact was partially offset by favorable foreign exchange of approximately $4 million. For adjusted EBITDA, lean initiatives in purchasing and manufacturing contributed $25 million in savings and cost reductions year- over-year. Savings from the implementation of restructuring initiatives added $4 million compared to the second quarter of 2024, and favorable foreign exchange was a tailwind of approximately $3 million in the quarter. Partially offsetting these improvements were $16 million of unfavorable volume and mix, including customer price adjustments and $6 million in increased costs from higher wages and general inflation. Moving to Slide 10. On Slide 10, we present the same type of year-over-year bridge analysis for the first half of the year. Sales declined by approximately $12 million or just less than 1%, driven primarily by unfavorable foreign exchange. Adjusted EBITDA in the first half increased by more than $41 million or more than 51% compared to the first half of 2024. The improvement was driven primarily by $45 million of manufacturing and purchasing efficiencies, $12 million of restructuring savings and $5 million of favorable foreign exchange. These positive drivers were partially offset by $16 million of unfavorable volume and mix and approximately $13 million of higher wages and general inflation. We are pleased with our improving results in the first half of the year as our focus on controlling costs, delivering exceptional performance and the launch of more profitable programs are having the positive impacts we had planned and expected despite production volumes being lower than planned expectations. Moving to Slide 11. Looking at cash flow and liquidity. Net cash used in operating activities was approximately $16 million in the second quarter of 2025 compared to $12 million in the second quarter of 2024. Capital spending, as mentioned earlier, was approximately $8 million in the second quarter, resulting in net free cash outflow of approximately $23 million for the quarter. This is consistent with the second quarter of last year despite cash interest paid being more than $14 million higher this year. We ended the second quarter with a cash balance of approximately $122 million. Combined with $151 million of availability on our ABL facility, which remained undrawn, we had solid total liquidity of approximately $273 million as of June 30, 2025, which we believe is sufficient to support the continuing execution of our business plans and profitable growth objectives. And importantly, following the solid results of the first half and considering our current outlook for production volumes in the remainder of the year, we believe we are on track to achieve positive free cash flow for the full year. Further, as we continue to focus on delevering through earnings growth, achieving the midpoint of our guidance range for full-year adjusted EBITDA, combined with our expectations for positive free cash flow would result in a net leverage ratio below 4x at the end of this year. We are pleased that our improving results and solid future prospects are being recognized by our stakeholders, including credit rating agencies such as Moody's, who recently upgraded their outlook on Cooper-Standard from stable to positive. With respect to our capital structure, we are actively evaluating various options to strengthen our balance sheet and further improve our cash flows and are carefully monitoring conditions in the credit markets. We are optimistic that as we continue to deliver improving results, we will be able to refinance our first and third lien notes with more favorable terms and rates. With that, let me turn it back over to Jeff.
Jeffrey S. Edwards: All right. Thanks, Jon. I appreciate the exciting news there, great job. So in the last portion of our call here, I'd like to again comment on our high-level strategic imperatives that I mentioned earlier, but also provide some additional details on the strategic plans for each of our operating segments and where we believe these strategies can take us over the next few years. Then I'll wrap up with some comments on our near-term outlook and our revised guidance for 2025. So if you'd please turn to Slide 13. Our strategies and operating plans are really built around the four strategic imperatives that you see outlined here on Slide 13. And as a global team, we established this basic framework a couple of years ago, I guess. And by aligning the companies around these common objectives, we've been able to drive significant improvements in virtually every aspect of our business. And with the improved operating performance and stability of the business, we have now been able to turn more attention, frankly, to our longer-term planning and the strategies and the objectives that align with that. So in that context, we recently asked our two product presidents to work with really their respective teams everywhere in the world to develop these long-term strategies for each of their businesses that would not only achieve these stated strategic imperatives, but build on them to take Cooper-Standard to the next level of value creation that we believe in over the next several years. And as we like to say, just around the corner, so to speak. Last month, we presented those exact plans to the Board of Directors, and they certainly expressed enthusiastic support, which is exciting. And so while we don't have time to go into those details here this morning, obviously, I still think it makes sense to share a brief summary on each plan with you. And that's really just to highlight that presentation to the Board. That's just part of our normal business review process, and it happens to be the time of year where we do it and it lines up with the call. So I thought it would make sense. So if we just go to Slide 14 and take a look at the sealing system strategy there. As the global market leader, our sealing system strategy is focused on sustaining the operational excellence that has reestablished the financial strength of the business and leveraging global expertise, as we all know, in our engineering, design and manufacturing, and they've done a great job to drive profitable growth. That's both in our existing and in our new markets, a great improvement there by that team. In our manufacturing facilities, the sealing team expects to drive greater efficiencies in both process and asset allocation by utilizing digital tools. And those are powered and connected through our network and supported by artificial intelligence. Our proprietary suite of digital tools we call C S Factory is currently being rolled out in key global locations, and that will eventually be expanded and deployed to every one of our manufacturing facilities in the world. They're also using digital tools to make the design and validation process for new products faster and more efficient, supporting our customers in developing markets that tend to have shorter product development cycles. Finally, the sealing team will continue to focus on the voice of the customer and is quickly bringing additional innovative products and technologies to market that we expect will add value for our customers and enable Cooper-Standard to expand content per vehicle and more importantly, market share. Turning to Slide 15. With over $300 million in new business awards since 2023, the sealing business has a good line of sight on new program launches with improved variable contribution margins over the extended planning period. We expect successful execution of these plans, including further cost optimization actions will drive revenue growth of about 6% on average over the next 5 years for our sealing business, with significant expansion of EBITDA margins and return on capital increasing to approximately 20% by 2030. Turning to Slide 16 and the fluid handling systems strategic plan in some detail. So on Slide 16, the fluid handling system strategy certainly looks to unlock the full potential of the organization, expanding geographically in association with our key and our fastest- growing customers, leveraging the growth trends in hybrid vehicles to expand content per vehicle and launching new innovative products and technologies, including thermal management solutions and the award-winning eCoFlow family of products. In addition, the fluid handling team expects to continue their relentless focus on cost optimization and world-class manufacturing execution to drive further margin enhancement. And if you look at Slide 17, as with the sealing business, the fluid handling business has a strong book of new program awards that is expected to drive both growth and improved profitability over the planning period as programs launch. In fact, our top line growth is expected to average approximately 8% annually over the next 5 years with our fluid business. In addition, with continued world-class manufacturing execution and cost optimization, EBITDA margins for the fluid handling business are expected to increase to around 16% and return on invested capital is expected to approach 30% over that 5-year planning horizon. As profits and cash flow improve, self-funded inorganic growth could provide additional opportunities as well. While we're confident in our abilities to execute our strategic plans and achieve these strategic targets, certainly, we're not issuing guidance here, it's too early to consider these 2030 targets, if you will. However, we all know that the challenges the industry has faced with global production volume, that's still kind of in our face. But that being said, as a company, we're better positioned today than we are -- than we have been at other -- any other time in our company's history to plan effectively, to execute consistently and flawlessly launch new business and deliver what we say we'll do. The other thing I would know here is that with that planning horizon, we didn't assume really any uptick in the volumes as we've been seeing them over the last few years, especially here in the North American market. I think the maximum volume we used was around 15.3 million units in that outlook. So any additional volume increase beyond that would certainly be good news to the plan that I just described. And we all know that the industry volumes have to bounce back here someday, right? So to conclude our prepared remarks this morning, let me shift focus to the near term and our outlook for the rest of 2025. There is still a lot of uncertainty around the U.S. trade policy and the implementation of tariffs that may impact the auto industry globally. Industry production forecast for the second half of the year have improved slightly, but still remain below where they were coming into the year before trade and tariff policies became a concern. As for Cooper-Standard, we've successfully reached agreements with our customers that will allow us to pass through or recover the majority of all direct tariff impacts on our business. With the conclusion of commercial negotiations, we can focus on execution, as I mentioned earlier, and continued operational excellence while preparing to be flexible for any changes up or down in total production volume. So turning to Slide 19. Following the first half in which our results exceeded our plan and given our continued strong operational execution, we feel confident in raising our full-year guidance for adjusted EBITDA, and you can see that on the table. The waterfall chart on the right describes the drivers for our outlook for the full year 2025 versus 2024 actuals. Improvements in manufacturing and purchasing are the biggest drivers, but production volume, including product mix, remains most likely variable over the next 5 months. As always, we want to thank our customers and all of our stakeholders for your continued confidence and support as we continue to execute our plans to drive further operating improvements, accelerate profit growth and sustainable long-term value. This concludes our prepared remarks. So let's move into Q&A.
Operator: [Operator Instructions] And our first question comes from Kirk Ludtke at Imperial Capital.
Kirk Ludtke: Thank you for the 2030 targets. These are really interesting. On the sealing side, it looks like there's $400 million of incremental revenue, of which $300 million is net new business. Is that -- am I reading that correctly?
Jonathan P. Banas: Yes, I think your math is right.
Kirk Ludtke: Okay. And then the rest looks like -- the other $100 million is some modest increase in production and I don't know, maybe pricing or something -- mix or something like that?
Jeffrey S. Edwards: Yes, Kirk, this is Jeff. As I mentioned, the volume assumption that we used when we built that -- the strategy that we reviewed with the Board here recently, we used S&P's numbers from last year that they had forecast out through '26 and '27. So in our '25, '26 and '27 business plan, those were the -- I would say, the -- I don't want to call it the morticians forecast, but I guess I just did. So as it relates to any increase above that 15.3 million units here in North America anyway, it's pretty much flat. So we didn't bump up any numbers here with higher volumes like we've seen normally in our industry. We kept it as the forecast from S&P suggested out through the '28 period. I think it represented a couple of percent growth each year, so not much at all.
Kirk Ludtke: Okay. Great. And the math on the fluid side, $600 million of incremental revenue. Are you sharing how much net new business is in that number?
Jeffrey S. Edwards: We have broken out net new business for both of these product groups since we started managing the business this way and reporting it externally. So yes, each quarter, I think you have -- not only what we've been booking, but also the powertrain that aligns with it. We've also given you some content per vehicle data points that for each one of those, whether it's an ICE, hybrid or electric vehicle, we've talked about the increase in content. We also, last quarter, talked about the vertical integration that's starting to come our way with overall system integration opportunities that our fluid teams are driving. So what we know of that is included in that outlook. But I would tell you that as it relates to the vertical integration piece and how that will drive content per vehicle, that's not in there. And if there's any consolidation opportunities within that business over time, as I mentioned, from an inorganic point of view, none of that's reflected in those numbers. So this is sort of what's been going on within the business, how we've been booking business, the content that we know of today is reflected in there. So it isn't any real crazy kind of projections that we put into that plan. As the industry adjusts to less EV and more hybrid, those numbers actually will get quite a bit better.
Kirk Ludtke: Yes. That's helpful. So if I were -- is it fair to say that if there's $100 million of other in sealing, there's, say, $100 million of other in fluid. So you've got $500 million in net new business in fluid over the next 5 years?
Jeffrey S. Edwards: That's fine. You can say that.
Kirk Ludtke: Yes. Okay. Well, that's -- so 80% of the incremental $1 billion is booked?
Jeffrey S. Edwards: That's correct.
Kirk Ludtke: Okay. And the margin expansion, I guess, in part is based on the optimization of the footprint. Can you maybe elaborate on that and how -- in a tariff environment, how you decide what's optimal?
Jeffrey S. Edwards: Yes. So as we've talked, we have a very detailed "process" for all of our new business. We have hurdle rates. We have margin expectations. We're tracking the variable contribution margin on all those businesses from the time of award until we launch it. It's a KPI that gets a lot of attention and has the last several years. And so we're very confident that the pricing that's in this strategy plan that you're referring to are real. We're doing it today. There isn't any hockey stick or anything like that, that's built into these numbers. It's based on the fundamentals of what's being reported today. And then as those improvements from a cost point of view come into our business, obviously, that improves margins on the business that we've booked. But also pricing is a big part of it. We're managing that very closely. Obviously, the changes that occur in our product tend to be late in the cycle. And so those increases also are very important because typically, costs are going up, so prices have to go up. We're just much more disciplined around all of it. So I would tell you that our forecasting, Kirk, has improved immensely and not just within the business year like we're talking about here in 2025 that in '26, '27, '28 and then out there in '29 and '30 because our business is sourced to us so far in advance, we have a pretty good idea of what it is and what the prices are three years out. And so it's got some pretty good accuracy, if you will, even when we get out into that fourth and fifth year.
Kirk Ludtke: Okay. I appreciate that. And then I guess, lastly, just kind of backing into the math here, you're forecasting at the midpoint adjusted EBITDA of $235 million for fiscal '25 and something north of $500 million for fiscal '30?
Jeffrey S. Edwards: Yes, that's your math.
Operator: [Operator Instructions] And our next question will be from Michael Ward at Citi Research.
Michael Patrick Ward: Just maybe to follow up on that. Do you have any lines currently today, whether in fluid or sealing that are at the types of margins you're looking at as a guidepost for 2030?
Jeffrey S. Edwards: Yes.
Michael Patrick Ward: You do. Okay. So it's not like it's unattainable. You have a way or path to get there...
Jeffrey S. Edwards: Yes. As I mentioned, Mike, the programs that we're booking right now that we don't launch for 3 years, right? Those are already achieving the type of hurdle rates that we have in the plan. The only thing that wouldn't be in there is this hybrid vertical integration for fluid that's really going to drive some significant content per vehicle. We know that's coming. We have some experience in that already, but we didn't purposely book any of that in these numbers. So that would all be upside as it happens. And I just felt that to keep it a little bit conservative at this stage until we know more about what those numbers will look like, even though I know they're going to be better. It's not even reflected. So there's upside in fluid just based on how the market shift will go from ICE to hybrid to EV for our fluid business. And as I mentioned to you many times in the past, because of the way we're vertically integrating there and getting involved with more systems integration, that's going to drive higher numbers for us too. And basically, that forecast -- 5-year forecast for fluid has very little of that in there.
Michael Patrick Ward: That's interesting. If you look back over the last couple of years, there are a couple of big things you did. Your commercial agreements allowed you -- gave you the flexibility to get some of the stuff done in the tariff environment, correct? And then you have the restructuring actions. It looks like -- if I'm reading your walk from the first half and second half, you have a similar volume impact in the second half, and it's likely that volume is going to be flat or higher. So if I'm going through this correctly, you have an outside shot of getting pretty damn close to the 10% margins by 4Q, your exit rate hope. Is that right?
Jeffrey S. Edwards: That's correct, Mike. I still am holding to that. We've even used, as you just mentioned, the fourth quarter -- it's not a secret, the fourth quarter volume forecast that everybody is using from S&P are still rather depressing and depressed. And I don't expect that to actually occur based on what we're seeing already in releases, but we tether off to that each quarter. So it is what it is. But I would expect that we'll have some upside there to your point. I'd be shocked if we don't, but it's their numbers right now.
Michael Patrick Ward: No, that's an important point, Jeff, because there is a separation. What you hear from the dealers and what you hear from yourselves and the suppliers and the schedules you see from the manufacturers, they're materially higher than to what IHS is currently using -- from what I can tell, looking at the IHS data.
Jeffrey S. Edwards: Yes, that's correct. And we've got releases right now through -- into October already. So we have a pretty good idea of what's going to transpire. I mean, third quarter, we have -- we know what it is and fourth is starting to come up from what was out there by these agencies. And so -- but we didn't forecast it because that's not how we normally do it.
Michael Patrick Ward: No, no, I think that's the right thing to do. And I think IHS will move them higher over the coming -- over the next 2 weeks probably. Jon, when I look at the cash flow balance sheet, how much cash restructuring was there, whether in 2Q or first half?
Jonathan P. Banas: Cash restructuring, Mike, give me a second. It wasn't considerable. I think it was less than $10 million, but we'll get you the exact number on cash restructuring in the first half...
Michael Patrick Ward: It will be in the Q, right? But it's about $10 million?
Jonathan P. Banas: Yes.
Michael Patrick Ward: So if I take that out, then we're looking at a working capital use of about $75 million in the first half. That should unwind in the second half completely? Or will some of that drag into '26?
Jonathan P. Banas: No, we think it unwinds completely. It's important to keep perspective that we also paid $55 million in cash interest in June, and we'll do that again in December. But despite that $110 million, $115 million all in of cash interest, we do expect positive free cash flow for the year. So much of the working capital you're pointing to will unwind, and we think that will be a tailwind in the second half. The normal seasonality is such that we use cash in the first half. We start generating positive cash in Q3 and Q4. And this year's cadence looks no different than that.
Michael Patrick Ward: And if you are successful refinancing the first and third liens, what type of rate reduction can we look for, particularly if we got a rate reduction in September?
Jonathan P. Banas: Yes. We're reading the tea leaves there. Our trajectory and the improvements we're making, I kind of alluded to it in my prepared remarks. We're getting recognized for that, Mike. So we're kind of on the cusp of a ratings inflection point. As it's a CCC rating, it's much more costly than a single B, and we're kind of operating and having that trajectory with that positive outlook towards a single B territory. So we'd like to think there's an improvement, but how much that will be, remains to be seen based on the market conditions that you referred to. And that's why we're kind of working ahead with our banking partners to kind of put a road map together to see when it makes sense to go to market and how good the step-up can be.
Michael Patrick Ward: I mean are we talking 100, 200, 300 basis points, that type of improvement?
Jonathan P. Banas: Well, that's the range, I guess, you could say from a CCC to a single B, but not all single B credits are the same and pay the same rate. So the proverbial answer is, it depends.
Michael Patrick Ward: Yes, that's the beauty of the debt market.
Operator: Our next question will be from Ben Briggs at StoneX Financial.
Ben Briggs: Sorry, I was muted there. Congratulations on the quarter and on the guidance. A lot of mine got answered, but a quick one here. Just can you provide some more detail on that use of cash for working capital this quarter and how you see that unwinding in the second half?
Jonathan P. Banas: Yes, Ben. The big components that had the outflow in, if you will, from December 2024 to June of 2025 were really the build backup of accounts receivable. We had a really strong year-end performance last year where we were very diligent in collecting outstanding AR, drove that balance down to $310 million or so when historically, the year-end balance is really closer to $350 million, 12/23 was $380 million. We're back up to $371 million right now as of June. So that's more of the normal level. And when you had the significant overperformance on collections at year-end last year as well as our typical factoring program that adds liquidity to us, bringing that down to $310 million, but now back up to $371 million. That $60 million outflow or so, is the biggest component. I think inventory and accounts payable net each other out, but that's the biggest driver. So as we continue to look to unwind working capital, we still have got improvements to make on all metrics or all line items between now and the end of the year, and you'll see a normalization of that going forward.
Operator: It appears that there are no more questions. I would like to turn the call back over to Roger Hendriksen.
Roger S. Hendriksen: Okay. Thanks, everybody. We appreciate your engagement, your questions. And if there are other questions that come up later in the day that you would like to have some clarity on, please feel free to give me a call. Until then, we appreciate your joining today, and you can disconnect. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do please ask that you disconnect your lines. Enjoy your weekend.